Operator: Good morning, ladies and gentlemen, and welcome to Cowen's Third Quarter 2022 Earnings Conference Call. My name is Maria, and I'll be your operator for today. Before we begin, Cohen & Company would like to remind everyone that some of the statements the company makes during this call may contain forward-looking statements under applicable securities laws. These statements may involve risks and uncertainties that would cause the company's actual results to differ materially from the results discussed in such forward-looking statements. The forward-looking statements made during this call are made only as of the date of this call, and the company undertakes no obligation to update such statements to reflect subsequent events or circumstances. Cohen & Company advises you to read the cautionary note regarding forward-looking statements in its earnings release and in its most recent Annual Report on Form 10-K filed with the SEC. I would now like to turn the call over to Mr. Lester Brafman, Chief Executive Officer of Cohen & Company. Please go ahead, sir.
Lester Brafman: Thank you, Maria, and thank you everyone for joining us for our third quarter 2022 earnings call. With me on the call is Joe Pooler, our CFO. Our company navigated difficult market conditions and continued to successfully execute our strategy generating 2.2 million of adjusted pre-tax income in the third quarter. We are pleased that both our investment banking and U.S. insurance origination teams closed transactions and generated new issue in advisory revenue. Although our reported financial results continue to be impacted by unrealized negative mark-to-market adjustments on our principal investing portfolio, we remain focused on our strategic objectives and we are confident that the expansion of our investment banking and commercial real estate teams will continue to translate into higher revenues in the future. As we move forward, we are committed to enhancing stockholder value and in the third quarter we continued to pay our quarterly dividend. Now, I will turn the call over to Joe to walk through this quarter's financial highlights in more detail.
Joe Pooler: Thank you, Lester. We'll start with our statement of operations. Our net loss attributable to Cohen & Company Inc. was 900,000 for the quarter or $0.64 per fully diluted share, compared to net loss of 1.9 million for the prior quarter or $1.53 per fully diluted share and net loss of 3.4 million for the prior year quarter or $3.46 per fully diluted share. Our adjusted pre-tax income was 2.2 million for the quarter, compared to adjusted pre-tax loss of 8.1 million for the prior quarter and adjusted pre-tax loss of 14.9 million for the prior year quarter. Note that adjusted pre-tax income and loss is not a measure recognized under U.S. Generally Accepted Accounting Principles. See our disclosures, calculations, and reconciliations surrounding adjusted pre-tax income and loss in our earnings release. Third quarter 2022 principal transactions and other revenue was negative 1.2 million for the quarter. The negative principal transactions and other revenue was primarily due to mark-to-market adjustments on our principal investments related to our involvement in the spec market as a sponsor, asset manager, and investor, which has resulted in increased holdings of public equity positions in post business combination companies. Principal transactions revenue includes all gains and losses and income earned on our 37.7 million investment portfolio classified as other investments at fair value on our balance sheet. Net trading revenue came in at 8 million in the third quarter, down 2.4 million from the second quarter and down 8.6 million from the third quarter of 2021. The current quarter's net trading revenue includes a $4.6 million loss incurred during the liquidation of reverse repo collateral related to a mortgage originator clients bankruptcy filed. New issue and advisory revenue was 13.2 million in the third quarter, an increase of 9.8 million from the second quarter and an increase of 4.4 million from the year ago quarter.  During the third quarter, our Investment Banking Group, Cohen & Company Capital Markets, generated 10.5 million in advisory revenue and our U.S. insurance team generated 2.7 million of origination revenue. Our asset management revenue totaled 3.5 million in the quarter, which was up 1.6 million from both the prior quarter and the prior year quarter.  During September of 2022, one of our Alesco CDOs had a successful auction and 1.6 million of subordinated managed fees in arrears was recorded. As a result of the CDO liquidation, our AUM decreased by approximately 100 million and we will earn no additional asset management fees from this CDO. Compensation and benefits expense for the third quarter of 2022 was 15.2 million, which was up from the prior quarter and down from the prior year quarter, primarily due to fluctuations in revenue and the related variable incentive compensation. The number of company employees was 122 as of September 30 of 2022, compared to 121 as of June 30 of 2022 and 115 as of the end of third quarter last year. Net interest expense for the third quarter of 2022 was 1.3 million, including 921,000 on our two trust preferred debt instruments, 113,000 on our senior notes, 244,000 on our redeemable financial instrument, and 67,000 on our credit line. Income from equity method affiliates during the third quarter totaled $600,000 of income, income and loss from equity method affiliates generally fluctuates depending on the timing of the closing of business combinations by our equity method investees that are sponsors of specs, which typically resulted in increased value of founder shares allocable to us by the sponsors. During the third quarter, income tax expense was 1.8 million, compared to income tax benefit of 60,000 in the prior quarter and income tax benefit of 248,000 in the prior year quarter. We will continue to evaluate our operations on a quarterly basis and may make adjustments to our valuation allowances applied against our net operating loss and net capital loss tax assets going forward. In terms of our balance sheet, at the end of the quarter, total equity was 105.6 million, compared to 151.4 million at the end of the year, the non-convertible, non-controlling interest component of total equity was 4.2 million at the end of the quarter and 31.8 million at the end of the year. Thus the total equity, excluding the non-convertible, non-controlling interest component was 101.4 million at the end of the quarter, an 18.2 million decrease from 119.6 million at the end of the year. At quarter-end, consolidated corporate indebtedness was carried at 28.9 million and our redeemable financial instruments were carried at 8 million. As Lester mentioned, we've declared a quarterly dividend of $0.25 per share payable on December 2 to stockholders of record as of November 18 of 2022. The Board of Directors will continue to evaluate the dividend policy each quarter and future decisions regarding dividends may be impacted by quarterly operating results and the company's capital needs. With that, I'll turn it back over to Lester for closing comments.
Lester Brafman: Thanks, Joe. Please direct any offline investor questions to Joe Pooler at 215-701-8952 or via email to investorrelations@cohen&company.com. The contact information can also be found at the bottom of our earnings release. Operator, you can now open both call lines for questions and thank everyone for joining us on our call today.
Operator:
Lester Brafman: Thank you, operator, and thanks everyone for joining our call. We look forward to speaking with you next quarter. So, have a nice rest of the week. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.